Operator: Thank you for standing by. My name is Gayle, and I will be your conference operator today. At this time, I would like to welcome everyone to Lindblad's 2024 Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Rick Goldberg, CFO. Please go ahead.
Rick Goldberg: Thank you, operator. Good morning, everyone, and thank you for joining us for Lindblad's 2024 fourth quarter earnings call. With me on the call today is Natalya Leahy, Chief Executive Officer; and Sven Lindblad, Founder and Co-Chairman. Dyson Dryden, who served as our Interim Chief Financial Officer last year before returning to our Board of Directors, is also here to help answer questions. We'll start with some brief comments from Sven, then Natalya will share her initial impressions and roadmap for the business and I will follow with details on our 2024 results and 2025 expectations before we open the call for Q&A. As always, you can find our latest earnings release in the Investor Relations section of our website. But before we get to all of that, I'd like to remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. With that out of the way, I'll turn the call over to Sven.
Sven Lindblad: Good morning, and thank you all for joining us. We're delighted to bring you the conclusion of 2024, which produced records on a multitude of fronts. Our new CEO, Natalya Leahy, and our new CFO, Rick Goldberg, will shortly provide you with details. But before handing over to them, a few thoughts. Lindblad Expeditions is now 45 years old, having begun as a division of my father's company, Lindblad Expeditions. I have found great joy in leading and building the enterprise over these years. Our North Star of providing meaningful life-enhancing experiences for our guests has never wavered nor has the importance of being good stewards on behalf of the planet. Now, with 12 owned ships, nine which we charter, and five incredible land-based companies, we have an incredibly diverse organization poised for continued innovation and growth. So this year was a perfect one to hand the CEO leadership over to Natalya Leahy who comes to the company with deep experience, rising through the ranks of Carnival Corporation, Holland America Line and ultimately to the Presidency of Seabourn Cruise Lines. She is both capable and intensely excited about what she can contribute to this next phase of our evolution. Together with Rick Goldberg, our new CFO, they have hit the ground running and already in their short time here are having a positive impact. I will continue to work closely with them in my role as Co-Chair of the Board, helping to keep our enterprise vibrant and growing. And finally, both Dyson Dryden and I will be on this call should there be any questions that we can be helpful with at the end of the presentation. And now I'll hand the call back to Natalya Leahy.
Natalya Leahy: Thank you, Sven. I'm truly excited to be here. Over the past weeks, I've gained a deep appreciation for Lindblad's history, its purpose-driven approach and the incredible culture you’ve built across our ships, field staff and shoreside teams. While visiting the ships with you and engaging with our guests, crew and local communities, I witnessed first-hand what makes this company so special, true authenticity, enrichment and an incredible adventure. Lindblad is the pioneer in expedition travel, delivering extraordinary experience in the world's most awe-inspiring destinations. Our industry-leading net promoter scores reflect exactly that. I was so impressed by the seamless orchestration of our expeditions, diverse daily landings, expert-led programming and locally inspired cuisine, all within the intimacy of our small ships and deep connection to local communities. As one guest has shared with me in Galapagos, after extensive research, there was only one obvious choice, National Geographic Lindblad Expeditions. With my background in iconic customer-centric brands, I'm both proud and energized to join this team, proud of the transformative experiences we offer and energized by the exciting growth ahead. I look forward to building on the success of our six phenomenal adventure brands. Turning to our financial performance. We delivered a record-breaking 2024. Rick, our CFO, will share more details on our financial performance, but I do want to call out a few key highlights. Our revenues increased 13% for the year to $645 million. Land segment's revenue increased 29% and the Lindblad segment’s tour revenue increased 7%, driven by improvement across all key metrics including accelerating yields in each quarter of the year. Adjusted EBITDA increased 28% for the year with margins increasing 170 basis points to 14.4%. In addition, we are pleased to see bookings for 2025 and 2026 continue to trend ahead of the prior year in both the Expedition and Land segments. 2024 was a record performance year and also laid the foundation for long-term sustainable growth. During the year, we continued to enhance and expand our Expedition offerings with our Antarctica Direct fly cruise program. The program successfully launched in the end of 2024, attracting new guests to the brand by reducing travel time and eliminating the Drake Passage crossing. Given the strong demand, we're expanding from four voyages in 2024 to 19 in 2025 and to 24 voyages in 2026. The 2025 program is nearly sold out and 2026 more than half booked. In addition, we introduced two new vessels in our core Galapagos market, the National Geographic Gemini, 48 guest ship, and the National Geographic Delfina, a 16 guest yacht, both are perfectly positioned to cater to high net worth travelers and private charters. These strategic additions reinforce our position as the premier choice in our core market that attracts new guests to our brand. During the year, we completed the rollout of several key technology advancements to drive operational efficiencies moving forward. I'd like to highlight the Seaware booking platform which will enable enhancing pricing management capabilities. We also implemented onboard technology upgrades that will provide higher transparency to our costs and higher inventory management capabilities. Lastly, we invested in our telephony system upgrade, which already cut wait times by over 50%. Next, I would like to update you on our commitment to sustainability which remains at the heart of Lindblad's mission. In 2024, we facilitated 45 conservation, education and research initiatives in key regions we visit, including 20 visiting scientists working on biodiversity, climate change and ocean health. A major milestone was achieved in Floreana Island restoration project, which saw a return of once locally extinct species and 100% self-sufficiency in staple crops for local farmers. These types of efforts drive real impact while also enriching the guest experience through deeper cultural and environmental connections. Looking ahead, I believe there are three key pillars to drive meaningful shareholders' value creation. Number one, maximizing revenue generation through higher occupancy, pricing and deployment profitability, both in the Lindblad and Land segments. Number two, optimizing financial performance through smart cost innovations and better fixed assets utilization. Number three, exploring and capitalizing on accretive growth opportunities including fleet expansion, charters as well as potential additions to our brand portfolio. Let me share with you a few major strategic and tactical initiatives and investments we're making in 2025 that will help us achieve our goals. First and foremost, we are amplifying our brand story. We recently launched our new co-branded campaign with National Geographic refrain travel showcasing how Lindblad enables guests to experience the world through a unique, authentic lens. How you see it matters, and this is why guests choose Lindblad Expeditions and this campaign captures our difference so well. It is launched across multiple channels and early engagements are very promising. Second, we will focus on reaching new audiences and reaching them through new sales channels. For this, we developed a robust plan with our National Geographic partners. It spans from integrating booking tools with the Disney National Geographic platform to joining Disney's earmarked Travel Advisor program which will significantly increase our exposure to new top-tier travel agencies. In addition, we will target Disney audiences through direct mail, reaching new guest prospects. Third, we will expand our charter and group businesses, which we believe is one of the most efficient ways to drive early occupancy load and to attract new audiences. Of course, our intimate ships are perfectly positioned and provide very strong value. Fourth, we will drive focused and mindful expansion in key international markets that present attractive growth opportunities. Of course, the National Geographic global brand awareness is a unique catalyst for us to capitalize on this opportunity. Fifth, we will continue to invest to capitalize on the momentum of our Land segment. And last but not least, we're intensely focused on driving cost and operational efficiencies such as streamlining crew planning, improving inventory management, optimizing supply chain and dry dock planning. These initiatives, coupled with strong booking momentum across our portfolio, increase our confidence in being able to achieve and exceed strength historic occupancy levels in 2026 and beyond. In conclusion, Lindblad Expeditions is uniquely positioned at the far front of one of the fastest growing sectors in travel. Our differentiated, purpose-driven model, rooted in authenticity, sustainability and deep engagement creates unmatched value for guests and shareholders alike. We have strong momentum, great portfolio of adventure travel offerings at sea and on land, a highly engaged and skilled team and a clear roadmap for continued success. With a focus on strategic investment, operational excellence and brand amplification, we are confident in our ability to drive long term, sustainable, profitable growth. Thank you and I will pass the call over to Rick to review our financials. Rick?
Rick Goldberg: Thank you so much, Natalya. I share Natalya's excitement about joining the Lindblad team. Especially after spending a week on board one of our ships with Natalya, I could not be more enthusiastic about the opportunity to build on this company's great legacy and to take the business to the next level. I'd also like to thank Dyson for his partnership over the last two months as I've transitioned into the CFO role. As Natalya mentioned, Lindblad delivered record revenue and EBITDA in 2024 while building a strong foundation for future growth. Total company revenue for the full year 2024 was $645 million, an increase of $75 million or 13% versus 2023. Lindblad segment tour revenue was $423 million, an increase of $26 million or 7% compared to 2023. The increase was driven by a 2% increase in available guest nights, a 7% increase in net yield per available guest night to $1,170 and a 1 percentage point increase in occupancy to 78%. Land Experiences tour revenues were $221 million, an increase of $49 million or 29% compared to 2023, driven by additional trips and higher pricing. On July 31, we closed the acquisition of Wineland-Thomson Adventures Incorporated, an adventure travel group that primarily operates African safaris, which also contributed to the strong growth. 2024 adjusted EBITDA was $91.2 million, an increase of $20 million or 28% versus the prior year. This was driven by an $11 million or 23% increase at the Lindblad segment and a $9 million or 40% increase at the Land Experiences segment. Looking closer at the cost side of the business, operating expenses before depreciation and amortization, interest and taxes increased $55.2 million or 11.1% versus 2023. Cost of tours increased $21.3 million or 6.6%, primarily due to the inclusion of Thomson Group and operating additional land trips. Fuel costs were 6.3% of Lindblad segment revenue, which is down 70 basis points compared with last year. Sales and marketing costs increased $15.6 million or 21.8%, primarily due to higher royalties associated with the new National Geographic agreement and additional marketing spend to drive future bookings. General and administrative costs, excluding stock-based compensation, transaction-related expenses and legal settlements increased $18.2 million or 17.4% versus a year ago, primarily due to higher personnel costs as well as credit card commissions associated with continued bookings growth. Total company net loss available to stockholders improved $14.2 million year-over-year to $35.8 million or $0.67 per diluted share. This reflects the significant improvement in operations, partially offset by higher depreciation and amortization. Looking quickly at the fourth quarter of 2024, tour revenues increased 19% compared to the same period in 2023 due to a 13% increase in net yield per an available guest night in the Lindblad segment, including an 8 percentage point increase in occupancy year-over-year and in the Land Experiences segment, an increase in guests traveled and the addition of Wineland-Thomson Adventures. Adjusted EBITDA in the fourth quarter of $13.4 million increased $9.6 million from the fourth quarter a year ago. This was driven by a $6.6 million increase at the Lindblad segment and a $3 million increase at the Land Experiences segment. Turning to the balance sheet, we ended the year with total cash of $216 million, an increase in $29 million versus the end of 2023. The increase reflects $92.4 million in cash from operations due primarily to the results of the business and increased bookings for future travel partially offset by interest expense. We used $44.1 million of cash for investing activities, including $10.6 million using the acquisition of Wineland-Thomson Adventures, net of cash acquired, as well as $33.5 million for purchasing property and equipment. In January, we closed our previously announced purchase of two purpose-built Galapagos expedition vessels, the National Geographic Gemini and the National Geographic Delfina, which have both gone through extensive revitalizations. The Delfina just embarked on its inaugural voyage and the Gemini will set sail in March. Consistent with our stated strategy, we'll continue to explore additional growth opportunities in the years ahead, including further diversifying our product portfolio and opportunistically expanding our fleet to capitalize on the continued growth in the demand for experiential travel. Looking ahead, we're excited by the strong momentum across our diverse portfolio of offerings. Available guest nights are expected to increase 1.5% for the full year in the Lindblad segment as the addition of the Gemini and Delfina is somewhat offset by deployment changes and the timing of dry docks and other maintenance. Those timing changes generate significant year-over-year swings in available guest nights by quarter, particularly in Q1 where guest nights are down double-digits due to the timing of dry docks and repositioning. We continue to be encouraged by the strong demand for the adventure travel market in both our Lindblad and Land segments. We're accelerating our investment in demand generation efforts, including building our sales team, expanding into charter and onboard sales, and focusing on key international markets. These investments will drive occupancy and net yield growth in 2025 and will have an even greater impact on 2026. I'm pleased to share that booking curves are turning ahead of prior year for 2025 and 2026 for both segments. And as Natalya stated earlier, we're confident that we're on track to meet or even exceed pre-pandemic occupancy levels in 2026. At the same time, as we're making these investments in sales and marketing, we're also innovating on the cost side of our business with a goal of reducing expenses while maintaining the guest experience and our commitment to safety. Particular areas of focus include supply chain and procurement, crew planning and travel, and dry dock optimization. For 2025, we expect total company tour revenue between $700 million and $750 million and adjusted EBITDA between $100 million and $112 million. We anticipate cash for investing activities to increase by approximately $20 million versus 2024, reflecting the recent acquisitions of the Gemini and Delfina, refurbishment of these vessels, and an increase in dry dock days. And now, Natalya and I would be happy to answer any questions you may have.
Operator: [Operator Instructions] So your first question comes from the line of Steve Wieczynski with Stifel. Please go ahead.
Jackson Gibb: Hi, this is Jackson Gibb on for Steve. First off, just want to say congratulations Natalya and Rick on the new positions. Looking forward to hearing more from you guys moving forward. For the first question, I just wanted to start off with guidance. Looks like the EBITDA guidance for 2025 came in around 5% below consensus at the midpoint, but your revenue targets were significantly higher than we expected. Could you talk a little bit about what factors might be weighing on the flowthrough there and what kind of occupancy expectations are embedded? And then maybe some puts and takes around what might get you towards the higher end versus the lower end of that EBITDA range?
Natalya Leahy: Well, thank you. First of all, very nice meeting you. Great question. So as you see, we have delivered a very strong double-digit EBITDA growth in '24 in both Land and Expedition segments and we are forecasting a very strong continued EBITDA growth in '25 based on our outlook. We are trending very strongly on our revenue based on current bookings both in '25 and '26. But we also continue to invest in future growth opportunities through expanding our sales force, sales channels and various demand generation activities that will generate strong return in '26.
Jackson Gibb: Got it. That's great. And then for the second question, a little more big picture here, with the new management team in place, I think it might be helpful to get an updated view on how you guys think about growing the business long term, whether that's organically through the new Disney partnership and how you think that can drive demand or through opportunities to deploy capital externally.
Natalya Leahy: Yeah, I think that our -- I tried to communicate it in my remarks, there are three key areas I believe which will drive value creation in this business. Number one is organic growth both in our Land segment and our Expedition segment through maximizing our revenues. Of course, National Geographic partnership plays a very key role in our National Geographic Expedition segment by expanding reach to very new audiences and very new sales channels and also continue to drive our brand awareness and amplification both in US and international markets. Our Land segment organic growth has been double-digit and very, very strong over past several years. So we will continue to invest in demand generation to accelerate revenue growth in those segments. Number two is smart cost innovation and fixed assets utilization. So we will focus on that. And the last one, we will continue to look for opportunities to invest in opportunistic fleet growth or additions to our portfolio brand. This company has done really well, as you know. Over past 10 years, the fleet capacity expanded by 75% and we added over $220 million in land acquisitions that perform very successfully. So we'll continue to look for value creation opportunities in that space as well.
Jackson Gibb: Got it. Thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Hi. Thanks very much for taking my question. Nice to talk to you all, some of you for the first time here. Would love it if you could give us an update on where the Disney sales partnership stands right now and how you expect that to ramp throughout the year. Are there a meaningful number of bookings currently coming in through Disney sales channels? And can you talk about how that compares to perhaps what you used to generate from National Geographic's platform alone prior to this?
Natalya Leahy: Yes, I will start. Alex, very nice meeting you. And I will provide my remarks and I invite others to add. So the National Geographic Disney partnership really, really gaining momentum. There is a very strong roadmap for '25. We just spent a week together with our partners there and we have been expanding various -- both sales channels but audience channels. So we started direct mail campaigns in the end of '24, which has very little overlap with our current less than 8% overlap with our current guests that generated positive returns. We're also expanding through various sales channels by enabling access to earmarked Disney agencies, which are premier Disney agencies. And that enables us to collaborate with very new travel partners. I expect that it will continue to generate very strong return in '25 based on foundation that was laid in '24.
Alex Fuhrman: Okay, that's really helpful. Thank you very much.
Operator: Thank you, everyone. Since there are no more questions, that concludes our Q&A session for today. I will now turn the call over back to Rick Goldberg, CFO. Please go ahead.
Rick Goldberg: Thank you so much, everyone. Really appreciate your time today.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect. Have a nice day, everyone.